Dame Carolyn McCall: Good morning, everyone. Thank you for watching ITV's 2020 full year results. In a moment, Chris will present our operational and financial performance for the year. I will then update you on our strategy and our priorities for the year ahead. At 9:00 am, we will be holding a live Q&A, and we hope to speak to many of you then. ITV took swift action from the beginning of the pandemic and worked with real determination to successfully manage and mitigate the impact of COVID-19 while continuing to invest in our future.  Our overriding priority was the physical safety and mental wellness of our colleagues, whether they were working from home or producing our programs. ITV Studios has been very innovative and agile in restarting productions and our commercial teams have worked closely with advertisers to produce creative marketing solutions and attract new advertisers to ITV. Throughout the pandemic, ITV has been on air informing and entertaining the nation. Despite the disruption and our focus on conserving cash, we've protected our strategic investments, and we're making good progress in executing our strategy. ITV Studios is continuing to strengthen its creative pipeline and diversify its customer base. We are implementing the Hub Acceleration plan, which is delivering improvements in the user experience and content; Planet V has been successfully rolled out to the majority of agencies to a really positive response; and BritBox UK is ahead of plan, hitting 500,000 subscriptions in January; BritBox US increased its subscriptions by 50% over the year; and we now have over 2.6 million SVOD subscriptions globally.  We are encouraged by the government road map out of lockdown, and we are well placed to continue to deliver our strategy despite the ongoing uncertainty. As a world-class global production business, ITV Studios continues to expand internationally, taking advantage of strong growth in demand for quality content. The restructure, creating the Media and Entertainment division, enables us to better respond to changing viewer habits and we will continue to manage our costs tightly, delivering around GBP 100 million of annualized permanent overhead cost savings by the end of 2022 compared to our previous guidance of GBP 55 million to GBP 60 million.  We finished 2020 strongly, but as expected, COVID-19 had a significant impact on our operating and financial performance over the year. While total revenues and profits were down, we achieved a profit of GBP 573 million ahead of expectations. This was driven by significant cost savings. Now I'm going to hand you over to Chris to go through our performance in more detail.
Chris Kennedy: Thanks, Carolyn. Good morning, everyone. I'm going to start with the performance of Studios. ITV Studios started 2020 with good momentum, expecting a strong slate of deliveries over the full year and year-on-year revenue growth as we continue to focus on diversifying ITV Studios by customer, by genre and by territory. COVID-19 changed this outlook. While productions resumed from summer onwards, the delay and disruptions in productions as a result of COVID restrictions has caused ITV Studios' total revenue to decline by 25% to GBP 1.4 billion, with external revenue down 28%.  Revenue was down in all regions, although Studios U.S. mitigated some of the impact through the diversification of their customer base as they have increased revenues from OTT platforms. 1/3 of U.S. scripted revenues now come from OTTs. Global distribution saw good demand for their library content, but this was more than offset by the delay in the delivery of new scripted content. Adjusted EBITA was down 43% year-on-year at GBP 152 million, with the adjusted EBITA margin at 11%. Whilst ITV Studios is a largely variable cost business, the decline in the margin reflects the ongoing fixed cost base, costs associated with COVID-related restrictions and GBP 8 million of investment in line with our strategic priorities. This was partly offset by GBP 63 million of cost savings, of which GBP 13 million are permanent. Around 90% of programs are now back in production. But with the prevalence of the virus and the likelihood of restrictions remaining in place for a significant amount of time, we expect productions to continue to be disrupted. Dramas, large entertainment shows and multi-location filming will be particularly affected.  Moving on to broadcast. Total broadcast revenue was down 8%, with 6% growth in non-advertising revenues more than offset by the 11% decline in total advertising revenue. Online advertising revenues were strong, up 17% year-on-year. ITV Hub, together with Planet V, provides a way for advertisers to get the benefits of a targeted TV campaign with low production costs and gives access to the premium product for those with lower marketing budgets. Direct-to-consumer revenue grew 4% to GBP 87 million, with growth driven by competitions revenue.  ITV Win, the rebranded competitions portal, has seen a significant uplift in traffic in the year, benefiting from lockdown restrictions. Other revenue increased by 8% to GBP 153 million with the successful launch of BritBox UK. Whilst it was our priority to continue to invest in the broadcast schedule, the program budget was down GBP 156 million due to the postponement or cancellation of a number of shows, including the European Football Championship, the summer series of Love Island, a reduction in weekly episodes of the soaps and the delay in some scripted titles into 2021. The reduction in the NPB was greater than we anticipated due to the extended restrictions and delays in production in the second half. We expect that schedule costs in 2021 will return to previous levels of around GBP 1.1 billion. Variable costs were up 20% at GBP 161 million mainly driven by costs for marketing and content for BritBox UK and higher interactive costs associated with the increase in revenue and prize costs in the year. Broadcast infrastructure and overhead costs decreased by 1% to GBP 373 million. There were additional overhead costs associated with BritBox UK and Planet V and investments in GBP 8 million in data, the ITV Hub, ITV Hub+ and technology. But these will more than offset by GBP 53 million of cost savings, GBP 8 million of which are permanent. For 2020, net investment in BritBox UK was around GBP 49 million with venture losses of GBP 59 million, both of which were in line with expectations. We anticipate that BritBox UK will remain in the net investment phase for several years as we build its subscriber base. In 2021, we expect venture losses to be at a similar level to 2020 and will decline thereafter. Broadcast adjusted EBITA excluding BritBox UK was down 1% at GBP 480 million at a margin of 25%, with the decline in advertising being offset by the reduction in the program budget and significant overhead savings.  Total broadcast adjusted EBITA, including BritBox was down 9% at GBP 421 million with a 22% margin. During the pandemic, we have seen people watching more television, and ITV total viewing increased 1% in the year. We had a good schedule despite the disruption, including continued strong performance of the soaps, with Coronation Street increasing its audience year-on-year; Great Drama, including Des, ITV's biggest drama in 2020 and Whitehouse Farm; new entertainment shows including The Masked Singer and Beat the Chasers as well as the huge success of I'm A Celebrity in the Castle in Wales; daytime shows, including Good Morning Britain, This Morning and Loose Women, which all had their best performance in the years; and innovative programming in lockdown such as the virtual Grand National. Total viewing on the main channel was up 5%, and we continue to be the home of scaled mass audiences, delivering 94% of all commercial audiences over 5 million and also delivering targeted demographics. The main channel remains the most watched channel for 16 to 34s as we continue to deliver programs they want to watch such as Saturday Night Takeaway and Gordon, Gino and Fred: Road Trip. Share of viewing declined in the year due to the volume of news output from the BBC, fewer episodes of Coronation Street and Emmerdale and lower volumes of new content following the pause in production. Online viewing was down due to a combination of factors: no summer Love Island; fewer episodes of the soaps; and the absence of any major sporting events; and of course, less portability needed as people were at home.  If you exclude the impact of fewer soaps and Love Island, then online viewing was actually up over 5%. ITV Hub simulcast viewing was up 13% as younger audiences increasingly used the Hub to watch live television on connected TVs, and ITV Hub registered users grew 6% to 33 million. There was good momentum in the advertising market at the start of 2020 with Q1 up 2%, the third quarter of successive growth. However, from early March, as lockdown measures were imposed, we saw most categories reducing or stopping their spend entirely and advertising fell 43% in Q2, the most severe decline in the history of TV. In Q3, the trend started to improve with some categories spending more, such as FMCG, supermarkets, cosmetics, publishing and broadcasting, telecommunications, food, government and charities and household stores.  Q4 total advertising was up 3% as advertisers looked through the second lockdown to Christmas and were encouraged by the positive news about the vaccine. We have seen this momentum continuing into the new year. However, lockdown 3 dampened demand, and Q1 2021 total advertising spend is now expected to be down around 6%. Trends are improving again, with March expected to be up 8% and April expected to be up between 60% and 75%. During the year, we maintained the investments which support our strategy. In 2020, we invested GBP 16 million, broadly in line with previous guidance, which was more than funded by the GBP 21 million of permanent cost savings we delivered. In addition, we delivered GBP 95 million of temporary savings.  This was significantly ahead of our guidance of GBP 10 million permanent and GBP 50 million temporary savings. Total investments in 2021 will be GBP 25 million, which includes GBP 12 million of investments as part of our previously announced plan and GBP 13 million of additional investments to accelerate our digital transformation and to continue to invest in ITV Studios. This investment will be funded by GBP 30 million of permanent overhead savings, which includes GBP 7 million of noncash savings. In total, we're now targeting GBP 100 million of annualized cost savings by 2022, which is an additional GBP 40 million to GBP 45 million compared to our previous guidance of GBP 55 million to GBP 60 million.  This represents 22% of our 2018 fully addressable cost base. There will be further temporary cost savings in 2021 due to the continued COVID restrictions. However, it's too early to quantify. We're investing across the business: in Studios, to strengthen our creative talent and grow our scripted business; in the Hub, to accelerate and drive on-demand viewing; in our tech and data capabilities; in marketing to drive live viewers; and in Planet V, to deliver our addressable advertising proposition. We continue to take a systematic, multiyear approach through our cost-saving program, which is increasing in its effectiveness as it matures. The further savings we've identified have required some tough decisions and will need focused effort to deliver.  They include headcount reductions, a reduction in our property footprint, end-to-end process reengineering, and the increased use of technology and data. The temporary overhead savings in 2020 largely comprised of a reduction in senior management and Board pay, recruitment and pay freezes, canceling the company-wide bonus, furloughing where appropriate, and reducing nonessential travel and other costs. Adjusted earnings for the year were down 22% to GBP 436 million, and adjusted EPS also declined 22% to 10.9p. Adjusted financing costs were down GBP 4 million year-on-year at GBP 36 million, reflecting lower levels of debt in the period and are expected to be at around the same level in 2021.  The adjusted tax rate was 18%, and we expect it to be between 18% to 19% in 2021 and 2022 and then move to around 25% over the medium term. Statutory EPS decreased by 40% to 7.1p. And net exceptional items were GBP 114 million, which was in line with our guidance. So to give you a bit more detail on the exceptionals. Acquisition-related costs of GBP 13 million were lower than in previous years as we approach the end of the earnout period. Restructuring and reorganization costs were also down year-on-year. COVID-related costs of GBP 11 million had direct incremental costs incurred exclusively as a result of COVID and include the costs associated with the closure of ITV Studios productions and their subsequent restart in a safe environment, incremental costs to maintain the production of daytime programming during the lockdown. GBP 23 million relates to impairments, mainly in relation to sports rights due to the rescheduling of the Euros.  Other exceptional costs were GBP 60 million and included an estimate of the settlement of the Box Clever case and an onerous contract provision relating to reduced transponder requirements. We expect exceptional costs to come down significantly in 2021 to around GBP 25 million, which will relate largely to acquisition-related expenses, restructuring and reducing our transponder capacity further. Our cash conversion was strong at 138% due to a reduction in program stock and the deferral of VAT payments in line with HMRC guidance. We expect the majority of this to reverse in 2021. Our objective remains to manage our capital structure over the medium term consistent with investment-grade metrics. Our reported net debt at the end of the period was GBP 545 million, including IFRS 16 lease liabilities. However, this unusually low net debt level benefits from the working capital improvement of GBP 137 million, which is expected to reverse, and the deferral of earnout payments which we now anticipate paying in 2021. Reported net debt to adjusted EBITDA is 0.9x, and our covenant leverage is 0.7x.  We have good access to liquidity with GBP 829 million of undrawn facilities and GBP 668 million of cash. Our pension schemes are reporting a deficit of GBP 26 million. The movement in the year was driven by a decrease in corporate bond yields and changes in the longevity swap offset by updated inflation demographic assumptions, a reduction in gilt yields along with our deficit funding contributions made in the year. And finally, the dividend. The Board recognizes its importance to our shareholders and intends to restore dividend payments as soon as circumstances permit. We will balance shareholder returns with our commitment to maintaining investment-grade metrics over the medium term, continuing to invest behind the strategy and maintaining financial resilience amidst the ongoing uncertainty around COVID. I'll finish by running through the 2021 planning assumptions. These are based on our current best view, but of course, it will depend on how events unfold over the year.  I've talked through most of the P&L assumptions. But in terms of cash, firstly, on tax, our payments will reflect the deferral of GBP 75 million of VAT payments from 2020. CapEx will be around GBP 75 million as we further invest in our digital transformation. The cash cost of exceptionals is expected to be around GBP 190 million, largely relating to accrued earnouts, including the final Talpa payment. We expect profit to cash conversion of around 30%, reflecting the reversal of the working capital benefits in 2020. Taking 2020 and 2021 together, cash conversion is expected to be 80% to 85% over the 2 years, in line with historic levels. And finally, pension deficit funding is expected to be GBP 75 million. I'll now hand back to Carolyn.
Dame Carolyn McCall: Thanks, Chris. As you all know, in 2020, we undertook a review of our strategy in light of the challenges created by COVID. The conclusion was that COVID-19 was accelerating some of the trends already identified. For example, increasing viewership of streaming and increased demand for content. The key change in the strategy is in the pace of execution particularly in transforming the business digitally in order to continue to manage the challenges and take advantage of opportunities. Our goal, as you all know, is to be a digitally led media and entertainment company that creates and brings our brilliant content to audiences wherever, whenever and however they choose. And of course, we have to monetize all of that. Our strategy will continue to evolve, but we remain focused on 3 priorities: growing our U.K. and global production business; transforming our broadcast business now within the newly created Media and Entertainment division; and expanding and strengthening on our established direct-to-consumer businesses and relationships.  These priorities are supported by embedding data, analytics, technology and agile working across the business, ensuring we own and manage rights efficiently, building on strong partnerships in the U.K. and internationally and delivering our social purpose strategy. Being an integrated producer broadcaster definitely gives us a competitive advantage. It provides Studios with a bedrock of core commissions and a formidable promotional engine for its content and the ability to cross-promote across all our business models. It enables 360-degree monetization of Studios' content across these business models.  It secures access to greater content for ITV's channels, AVOD and SVOD businesses and protects them from content price inflation becoming even more important as we transform digitally and window content across all of our platforms. This also helps to attract and retain strong, creative talent. As I said, we're making really good progress in delivering our strategy. We continue to focus on the speed of delivery in each of the 4 pillars of the business that drive value. Let's take Studios first. ITV Studios is a world-class international production and distribution company and one of the largest independent producers globally. It's in a strong position to benefit from the growing demand for quality content. We expect the global content market to continue to grow 3% to 5% driven by OTT, but also free to our broadcasters who will also need to continue to invest in content in the face of increased competition.  Secondly, our linear channels. They have a unique ability to drive live mass audiences, which continue to be such an important part of marketing campaigns. And TV remains the media delivering the highest-quality audiences and the highest ROI. Thirdly, in the rapidly growing AVOD market, the ITV Hub is capturing the shift to online viewing and strong demand for online advertising. The rollout of Planet V provides advertisers with targeted advertising with first-party data in a brand safe environment.  And finally, direct-to-consumer. BritBox UK enables ITV to monetize our best of British content in the U.K. in collaboration with other PSBs. And internationally with the BBC, we're able to take advantage of high-growth markets for British content. In addition, we're able to drive revenues from our IP, such as This Morning, Love Island, through to ITV Win as consumers are increasingly willing to pay to engage with a trusted brand and its content. It is increasingly clear that companies with a strong and clear purpose drive increased value. Our ESG strategy is an integral part of delivering our purpose and our business goals.  ITV does much more than entertain. It is truly more than TV. It reflects British culture in a way that global competitors cannot. We have a unique ability to inspire positive change through the significant reach of our platforms. Our social purpose strategy is built around 4 areas: better physical and mental health; diversity and inclusion; climate action; and giving back. Our healthy eating campaign, Eat Them to Defeat Them, encourages kids to eat vegetables. We support the Daily Mile, which inspires children to take more exercise. We've been working with Public Health England throughout the pandemic and with the government on encouraging healthy behaviors. We relaunched our mental health campaign, Britain Get Talking, during COVID, encouraging people to stay connected. I'm really proud that over 6.5 million people started a conversation about their mental health as a result. Our focus on diversity and inclusion for 2020 was particularly on improving opportunities for people from Black, Asian and minority ethnic backgrounds and to increase representation of those with a disability, where we have increased our target by 50%. We've appointed a Group Diversity Director who sits on the management Board, and we've launched our Diversity Acceleration Plan across ITV, both on and off screen. And we will report on our progress on this annually. On climate action, we've set an ambitious target to be a net 0 carbon emissions business by 2030. And we will do this by reducing emissions from our buildings, business travel and suppliers, achieving net zero on all programs we produce and commission.  And we're also increasingly using our programs and airtime to raise awareness, inform and inspire more sustainable habits. The fourth area of our social purpose strategy is giving back. We've helped raise more than GBP 3.6 million for NHS Charities Together and GBP 9.3 million for UNICEF through Soccer Aid 2020. I'm now going to take you through the progress we're making in each of our strategic priorities. ITV Studios first. We were, as you all know, forced to pause our productions in March, which we did in a very ordered and controlled way to minimize the cost and impact. With the innovation and dedication of the Studios team, we continue to produce our daytime schedule and began to restart productions from the summer.  We work closely with the U.K. government and the industry to develop a set of protocols to minimize health and safety risks during production. There remain operational challenges, but we're working really hard on overcoming these. We've delivered large-scale entertainment programs such as Love Island in the States, I'm A Celebrity in the U.K. and dramas such as The Bay in the U.K. and Paris Police 1900 in France. We have further strengthened our talent, which remains absolutely key to building a successful Studios business. These include Nicola Shindler, who has launched a scripted label within ITV Studios U.K.  She's the multi-award-winning producer of programs such as It's a Sin for Channel 4 and HBO Max and The Stranger for Netflix. We will be increasing our shareholding to a controlling interest in Danish producer, Apple Tree Productions. We have a joint venture between Tomorrow Studios and Nick Weidenfeld to launch Work Friends, an animation label in ITV Studios America. ITV Studios America has also launched a joint venture with producer Tony To and direct producer Dan Sackheim, to create an entertainment label Bedrock Entertainment.  And ITV America have also partnered with format creators Christopher Potts and Jonty Nash to launch Nobody's Hero to develop and produce reality shows. Despite the pandemic, we've maintained our development budget and focused on the development of the creative pipeline. We continue to build our portfolio of scripts programs, which we've targeted as an area for growth. We saw real success in the U.S. with Snowpiercer performing very well on TNT, and it has been recommissioned for a third series.  Good Witch for Hallmark has been renewed for a seventh season. The Pembrokeshire Murders for ITV launched with 12.5 million viewers. And The Serpent on BBC has had 31 million streaming requests across the series so far. In Europe, we're continuing to deliver for OTT platforms and local broadcasters with programs such as Balthazar, Suburra and ZeroZeroZero. 2021 will also see the delivery of Line of Duty and McDonald & Dodds in the U.K. and Gomorrah and Summertime in Europe. In 2020, we reorganized our international distribution and commercial business to strengthen our position as a creator, producer and distributor of world-leading formats. Love Island has now been sold in 20 countries, up from 13 in 2019. The Chase formats continue to travel internationally, most recently commissioned in the U.S. by ABC and is now in 16 countries. We also have a number of new formats that have been developed, including Rat In The Kitchen, a U.K. format, which has been sold to America; and Let Love Rule; an ITV Studios Netherlands format that has started to travel, running in Sweden, Belgium and also in the U.K., broadcast as The Cabins on ITV2. Being a scaled and international studios business enables us to increasingly harness the position of the ITV Studios group. We have further diversified our customer base as we strengthened our relationships with OTT platforms particularly in the U.S. In fact, ITV Studios has tripled its distribution revenue from OTTs since 2017. We produced a number of programs for streamers in 2020, including the fifth season of Queer Eye and Suburra for Netflix, Love Island France for Amazon and Becoming for Disney+. We've also sold international rights for a number of significant dramas, including Snowpiercer and The Serpent. Our U.K. and international businesses have also deepened their relationships with FTAs, with programs such as Love Island for CBS, The Voice for TF1 and The Chase for the Seven Network in Australia. 56% of total Studios revenues now come from outside the U.K. This slide on the tape I'm about to play show the strength of our pipeline across scripted and unscripted and the breadth of our customers as we further internationalize the business. And of course, we continue to produce core ITV scheduled soaps, daytime shows and some big drama and entertainment shows. Here is our amazing lineup.  [Presentation]
Dame Carolyn McCall: Turning now to broadcast. Our priority at the start of pandemic was to keep ITV on air and the ITV Hub and BritBox fully operational. We did that, providing our viewers with accurate and trustworthy information about the pandemic and lockdown and an opportunity to escape from it. As you know, we've restructured broadcast to create the Media and Entertainment division with 2 business units: Broadcast and On-demand. Broadcast is focused on delivering live mass audiences with high reach. On-demand is focused on driving digital viewing, both advertiser funded on ITV Hub, ITV2, ITVB and CITV; and direct-to-consumer through SVOD as well as our interactive D2C business.  This new structure enables us: to better serve changing viewer habits; be more agile and flexible in decision making; drive mass audiences and digital viewing; ensure we have the appropriate allocation of resources between broadcast and advertiser-funded VOD; further develop our digital capabilities; and streamline the ways we are working to improve productivity and reduce cost. This tape shows some of the highlights across our platforms in 2020 including examples of some of our most effective advertising campaigns and a preview of programs still to come this year. Take a look.  [Presentation]
Dame Carolyn McCall: As you can see, ITV is the home of mass quality reach, which is recognized by the advertising industry. As viewing and advertising becomes more fragmented, the scale and reach of advertising that TV delivers becomes increasingly valuable. We provide a safe, trusted, measured and transparent environment in which to advertise. And TV generates the highest return on investment of any media, as you know. In 2020, we delivered 94% of all commercial audiences over 3 million and 5 million and 92% of commercial audiences over 7 million.  Our commercial team continues to deepen its relationship with our advertisers and agencies to create innovative and relevant marketing opportunities, which started before COVID. We use the breadth of our experience, creativity and our unique platform to bring new campaigns and brands to TV. Throughout the pandemic, we provided webinars and teach-ins to over 3,000 advertisers; marketing support and digital content to clients; we gave consumer insight to help advertisers stay close to their customers; and we made booking advertising with ITV even more flexible. We've created a number of initiatives to help and to attract new advertisers and support businesses to recover well. Firstly, ITV Backing Business, which supports British businesses with a number of initiatives including incentives and rewards to help businesses of all sizes support their media investment, for example, NatWest's banking unit, as they launched competition for small businesses; eBay, to show how their services help SMEs; and smaller businesses such as Astonish, a cleaning product company; and Inspirited Gin.  Secondly, ITV Adventures, which works alongside digitally native brands that are new to TV, for example, Butternut Box, a subscription dog food brand; and CAFEPOD, a craft coffee company. Both have seen positive results. And finally, ITV Home Planet, a new initiative for sustainable brands to tell their environmental stories and encourage viewers to reduce their carbon footprint. Quorn was the first brand to sign up, and we have many other conversations ongoing. We are also launching a Media for Equity fund where we will take minority stakes within early stage digital and direct-to-consumer businesses in return for advertising inventory. This scheme will serve as an innovative opportunity for entrepreneurial companies to accelerate their growth and establish their brands by accessing ITV's unique reach and scale. We're going to invest up to GBP 15 million a year across 3 to 5 investments depending on their size. So, we're bringing in new advertisers to TV, but we are also, of course, extending our relationships with established brands and working at a deeper, more strategic level with many of them.  For example, within weeks of lockdown starting, we used our close and collaborative relationship with BT to launch BT Tech Tips, which saw nearly 6 million people learn new digital skills. With our flexible approach, ScS furniture retailer were able to pause their advertising when their stores closed, choosing instead to sponsor our programs. This saw online sales grow and ensure their brand remained front of mind while also delivering a socially responsible stay-at-home message. P&G is another great example of the benefit of being more collaborative, using our talent to make products more relevant to younger audiences. Now onto On-demand.  We have further improved the ITV Hub as we continue to deliver the Hub Acceleration Plan. Our investment has been focused on redesigning the interface on all platforms to continue to improve the overall user experience; increasing personalization and distribution to make it a destination for viewing our content; and strengthening the content available on Hub, including extending the catch-up window, full series drops, exclusive content around our large entertainment shows, short-form content around our daytime, soaps and entertainment shows, live events such as British Touring Cars and curated content such as the reruns of Euro '96. We are continuing to successfully roll out Planet V, our scaled programmatic addressable advertising platform, to the majority of very large agencies to a very positive response. As you know, Planet V enables advertisers to buy Hub premium inventory seamlessly and cost effectively from their own terminals. They can build their own audiences, monitor their own campaigns. And with our recent tech partnership with InfoSum, advertisers are able to add their own first-party data to their campaigns in a secure and compliant way. So this enables more granular targeting and builds new and more powerful audience segments at scale and unique to each advertiser.  We have confirmed that Samsung TV Plus will be our first third-party publisher partner, meaning that Planet V buyers can also access its inventory. Turning now to our direct-to-consumer business, where we have seen a positive uplift from COVID. We've seen good growth in our interactive revenue as we have improved the ITV Win platform and extended our competitions. However, as you'd expect, we've had to temporarily close all our live events and tours. We've seen strong growth in our SVOD products with over 2.6 million subscriptions globally; BritBox UK, as I said, is ahead of plan, hitting 500,000 subscriptions in January; conversion and churn rates are tracking in line with our expectations; and we are receiving really positive feedback from consumers. We've strengthened content with the successful launch of the first original, Spitting Image, Film4 content and a number of other partnerships such as the Royal Ballet and Royal Opera. Spitting Image alone drove a tenfold increase in subscribers, who converted from their free trial at a higher rate and had a lower churn than the average subscriber.  Unsurprisingly, those who came in for Spitting Image skewed towards other comedies including classic Spitting Image. In addition, we have extended the distribution of BritBox UK with rollout of the EE/BT distribution deal, with the service now available on around 20 million devices. BritBox brand awareness is now over 90%. Subscriptions for BritBox US have continued to grow strongly, and the service is profitable. We successfully launched BritBox in Australia in Q4, which has had a very promising start, achieving all its targets today. Hub+ continues to perform well with around 410,000 subs, slightly up on last year despite it being impacted by the absence of summer Love Island and less demand for portability in the U.K. and EU given travel restrictions.  We have clear priorities for this year and the next 3 years. We have achieved our goals in the first phase of our strategy, and we're now into the second stage of implementation. Firstly, in Studios, key in the short term is, of course, to continue to produce safely and at scale. We are very focused on further growing scripted, creating global formats that travel and return and diversifying our customer base. We aim to double our revenues from OTT platforms in 2021, and we will further strengthen our creative talent. While we expect ITV Studios to perform well in 2021, it will continue to be impacted by COVID-19 measures as previously guided. Secondly, across M&E, we will need to achieve the right balance been delivering mass live audiences and growing our digital viewers. Therefore, one of our key priorities is to test and trial our windowing strategy and the appropriate allocation of the NPB going forward between our linear and advertiser-funded VOD. We will continue to invest in content so we can optimize it across all our platforms. Our priorities in commercial, specifically, are to further roll out Planet V in self-serve and to transform our end-to-end processes to deliver efficiencies.  In On-demand, our key priority is to drive viewing and increase engagement with light viewers and to further strengthen the Hub to make it a destination and not simply a catch-up service. We will do this by focusing on its continuous redesign with improved functionality across all platforms; increased personalization leveraging our data capabilities; and trialing a new content strategy, as I've described, which includes original content, program spin-offs, shortfall and increased curation of content using relevant archive.  Fourthly, in Direct to Consumer, we are obviously prioritizing to continue to grow BritBox UK, and we're doing that by strengthening the content offering with an exciting slate of originals for 2021, which include The Beast Must Die, starring Cush Jumbo and Jared Harris; the Secrets of the Krays, they will both be in H1; series 2 of Spitting Image in September; and Crime, the Irvine Welsh adaptation in Q4. We are also exploring opportunities as a priority to expand distribution further with the confirmed launch on Amazon in 2021, which will make it available in around 90% of VOD homes, up from 65%.  We are working through the planning for a phased rollout of BritBox internationally to up to 25 countries, funded by our share of BritBox US cash flows. I'm so pleased to say that Reemah Sakaan has been appointed International CEO for BritBox to lead this. We're seeing good demand for premium British SVOD proposition. And therefore, we will launch in South Africa in 2021. And more markets will follow thereafter.  Finally, our fifth area or pillar of focus is our cost and productivity program, which Chris has taken you through. Now digital transformation, as you all know, is key to unlocking the success in all of these areas of our strategy and delivering the majority of our priorities. We've talked a lot about the digital transformation of our products to respond to changing viewing habits, what we call how we watch. What we haven't told you so much about is the progress we are making in how we work digitally as part of this. And what this means is that we are transforming our internal systems, processes and, actually, our behaviors or ways of working to support a digital business.  We're being more agile and efficient. We're ensuring our colleagues have the digital tools to drive the most effective ways of working. And we're achieving further cost efficiencies that we have set out, which is being enabled by this transformation. Our culture, of course, is key, having the right focus, mindset and capabilities that will enable us to achieve all of this much more quickly. So we are digitizing how we work at 3 levels: firstly, major cross-divisional programs, such as transforming our core systems and digitizing end-to-end processes, which have historically been set up for linear TV, for example, commissioned transmission; secondly, digitizing our core enablers, including transforming our core processes such as how we manage freelances and rights; and thirdly, delivering our data strategy. And finally, digital transformation is about the everyday changes we make, including the wider adoption of digital ways of working. So we are making good progress. We've appointed a Chief Data Officer, Director of Technology for On-Demand, a Director of Addressable Advertising, that's all over the last year. Our finance and HR transformation has started. Talent Pay, our fully automated talent payment system, is established and working very well. FreeCon, our freelancer management system, has launched successfully. And we're digitizing our workplace with Smart Working, an initiative we started before COVID which has been accelerated with great results.  And we continue to innovate in the way we make our shows with new technologies such as virtual sets and remote editing. Now turning to our outlook. The difficult decisions we took to deal with the crisis have put us in a good position to continue to invest in and successfully execute our strategy. Our overriding priority remains the health and well-being of our colleagues, who have worked so hard and with such determination throughout this crisis. As we emerge from the crisis, we will reexamine how we will work post the pandemic. We are developing a clear framework and operating principles, which should both improve productivity and our people's well-being. We are encouraged by the road map out of lockdown by the U.K. government and are seeing more positive trends across our business. We're continuing to produce the majority of our programs in the U.K. and internationally, although with prevalence of the virus, there may be some further disruption. The lockdown in Q1 significantly impacted the demand for advertising, but trends are improving with March expected to be up 8% and the first 4 months of this year to the end of April expected to be up 5% to 7%. We continue to monitor our performance really carefully and the risks associated with COVID-19 while tightly managing our costs and our cash.  As Chris said earlier, the Board understands the importance of the dividend, and we will resume it as soon as circumstances permit. We have strong foundations and are clear about what we need to do to ensure we emerge as an even more resilient digital and future-facing media and entertainment business. Delivering the More than TV strategy positions ITV to respond to changing viewing habits and to take advantage of the strong demand for quality content. I hope you can join us for the live Q&A at 9:00. The details of how to join are in our announcement this morning. See you then.
End of Q&A: